Operator: Good day, ladies and gentlemen and welcome to the Winnebago Industries First Quarter 2008 Conference Call. (Operator Instructions) I would now like to turn the presentation over to you host for today's conference Ms Sheila Davis Public Relations and Investor Relations Manager, please proceed.
Sheila Davis: Thank you, Gracie, and good morning. Welcome to the Winnebago Industries, Incorporated Conference Call to review the company’s results for the first quarter of the fiscal year 2008 ended December 01, 2007. Conducting the call today are Bruce Hertzke Winnebago Industries Chairman of the Board and Chief Executive Officer, Bob Olsen, President and Sarah Neilsen, Vice President, Chief Financial Officer. I trust each of you have received a copy of the news release with our earnings results this morning. This call is being broadcast live on our website atwww.winebagoind.com. A replay of the call will be available on our website at approximately noon today. If you have any questions accessing any of this information, please call our investor relations department at 641-585-6803 following the conference call. Before we start let me off the following cautionary note. This presentation contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that forward-looking statements are inherently uncertain. A number of factors could cause actual results to differ materially from these statements. These factors are contained in the company’s filings with the Securities and Exchange Commission over the last 12 months, copies of which are available from the SEC or form the company, upon request. I will now turn the call over to Bruce Hertzke.
Bruce Hertzke: Thank you, Sheila. Good morning everyone and welcome to Winnebago Industries First Quarter Conference Call. We are pleased with our performance during the first quarter in spite of the current downturn. Winnebago Industries is facing the current economic downturn just like the rest of the industry. We are extremely pleased to continue to be extremely profitable even with the marked conditions that we face. At the recent National RV Trade Show in Louisville, Kentucky we introduced several new floor plans, such as the Winnebago Tour, and Itasca Lift 40WD diesel. We also introduced a second exciting floor plan, the new NavioniQ. This 24 dl floor plan features a unique rear slide that extends the queen bed form the back of the motor home itself. Making its debut was also the all new 2009 Era Class B motor home. This is Winnebago Industries first Class C product since 2003 when the Volkswagen product was discontinued that Winnebago built the euro-vents, camper chassis for in the US. The new Era is a very competitively priced product for Winnebago Industries and we believe that we can command a commanding market share in the Class B market. We continue to manage the company with a focus on possibility and returning profits to the shareholder. We intend to maintain this goal in spite of the challenging market conditions. As part of a long-term strategy of returning of returning profits to our shareholders, we repurchased approximately 675,000 shares of the company’s common stock during the first quarter for approximately 17.5 million. This completes the $60 million authorization that began in June of 2007, in which we repurchased a total of approximately 2.2 million shares. Yesterday the board of directors approved an additional $60 million stock repurchase authorization for Winnebago Industries. Winnebago Industries continues to have a very strong balance and no long-term debt. Also, we continue to demonstrate the stability and longevity of our corporation. Earlier this week, we celebrated the production of our 400,000 motor home. We are extremely proud of achieving this exciting milestone as we celebrate the 50th Anniversary during fiscal 2008 as the leading RV manufacturer. In a moment Sarah will review the full details of the first quarter financial results. But first I’ll turn the call over to Bob Olsen for a review of the first quarter operational performance.
Bob Olsen: Thank you, Bruce and good morning. First I want to congratulate our employees for their performance in reaching these revenue and earnings results during the first quarter in light of the current market conditions. As Bruce mentioned we introduced new products during the National RV Trade Show in Louisville, Kentucky that featured exciting new floor plans as well as additional paint on several of our lower level product lines. We had a tremendous amount of interest in our new Era Class B motor home at the Louisville show and will begin production during the second quarter with products entering the retail market in approximately March. The new Era has a separate brand identity from our Winnebago and Itasca lineups and will be retailed in part through a separate and new dealer base. While we are pleased with our results for the first quarter we are still concerned about indicators we see that could affect us as we go forward. Our dealers inventories of Winnebago and Itasca brand products at the end of the quarter was 4,365 units, a decrease of 4.1% from the first quarter last year. As well as a 2.4% decrease from the end of the fourth quarter. We anticipate that dealers will continue to keep motor home inventories low as they go through the slower winter season. The typical surveys that retail reporting service from the RV industries has reported continued softness in motor home sales with Class A and Class C motor homes combined down 8.9% for the month of October and down 5.3% year-to-date through October 2007 compared to the same period last year. On a wholesale shipment basis, the RV industry has also reported its third consecutive year of year-over-year decline in the volume of Class A and Class C motor homes shipped to dealers. Also RVIA economist Dr. Richard Curtain from the University of Michigan has also forecast an additional decline of 5% for 2008. While we continue to be very bullish about the long-term outlook of the RV industry, the negative short-term forecast along with reports of consumer confidence levels being at a two year low, continued media reports of weakness in the housing market and dealers continued to be conservative in their inventory stocking levels lead us to be concerned as we go into our slowest part of the year. Now I’ll turn the call over to Sarah for the financial review.
Sarah Neilsen: Thank you, Bob. Good morning, everyone. I'm pleased to review with you the financial performance of the companies first quarter and fiscal year 2008. I do want you to know that this quarter included 14 weeks compared to 13 weeks last year, as a result of the timing of our fiscal year end, which ended at the last Saturday of August. This dynamic of a 14 week quarter happens every 6 years for us and last occurred in our first quarter of 2002. Revenues for the first quarter of 2008 were $215.1 million a 6.6% increase over the first quarter of 2007. In addition to the extra week in the quarter the revenue increase is primarily the result of an 8.6 % increase in our average motor home selling price due to an increase in Class A deliveries in the quarter of 7.7%. This was partially offset by a decrease in the total units delivered by 2.4%. Our gross profit margin was 11.9% for the first quarter compared to 10.6% for the same quarter last year. The 130 basis point increase in our margins was a result of a mid-shift to more Class A products and decreased retail promotional programs compared to last year. Selling expenses increased $878,000 as compared to the same quarter last year due in part to the fact that we attended the National RV Trade Show in Louisville, Kentucky in the last week of our first quarter. The cost of attending the show is typically included in our second quarter but as our quarter extended that additional week the costs were shifted into our first quarter. Financial income decreased $323,000 or 20.7% as a result of lower average investment balances partially offset by a higher average interest rate earned. The effective tax rate was 32.8% as compared to 32.2% the first quarter of last year. The increase is primarily the result of increased state taxes, decrease in tax free income offset partially by a higher production activities credit. Net income increased by 25.5% and diluted earnings per share increased by 36% when comparing the same quarter last year. Diluted earnings per share increased at a higher rate than that income as a result of 2.1 million fewer average shares outstanding due to the fact of repurchase in the last year. I will now highlight a few significant balance sheet items. Repeatable levels decreased 12.8 million in the quarter. This was due to fewer units included in receivables at the end of the quarter offset partially by an increase in the average motor home selling price. Inventories increased 18.9 million during the quarter. The increase was entirely the result of raw material chassis increases as finished goods inventory decreased approximately 7% and plastic inventories decreased over 4%. Raw material chassis inventory levels increased primarily due to the following three reasons: first the new chassis platform was on hand at the end of the quarter to support our new product offering, the NavioniQ; secondly, additional chassis inventory had been ordered to ensure that there were no disruptions to our production with new model year product from the chassis manufacturer. The model year transition did in fact go through in our first quarter; thirdly, challenging market conditions as evidenced by the continued decline in retail demand have affected our inventory levels. Due to these factors we do have additional chassis inventory currently on hand and it will take time to work our way down to a lower level, which we anticipate to occur during our third quarter. As indicated in the earnings release, we have adopted the new income tax accounting standard 1048 at the beginning of the quarter. 1048 clarifies the accounting for uncertainties and income tax loss by prescribing criteria for the financial statement recognition and measurement of tax positions taken or expected to be taken in our tax return. The impact of adoption to our balance sheet is consistent with what we had previously disclosed in our 2007 annual report. The accounting change had no P&L accounting change in our first quarter. However there may be impact to income expense positive or negative in the future as these tax positions are resolved. We complete the quarter with $94.2 million in cash and investments a decrease of $15.2 million from the end of the fiscal year. Cash provided by operations was $7.6 million as compared to useful cash from operations of $11.6 million in the first quarter of last year. This is in part due to an increase in our net income and to a greater extent the working capital changes in receivables and inventory on which I have already touched. From a capital expenditures perspective we spent $1.5 million in the quarter and expect to spend approximately $5 million to $6 million in fiscal 2008. One significant capital expenditure during the quarter to a Laser II cutter that was approximately $1.1 million, we were able to consolidate five different processes into one with this new machinery. We completed the stock repurchase authorization approved by the board this past year and bought back approximately 676,000 shares for 17.5 million during the quarter. We also paid dividends of $3.5 million. I will now turn the call back over to Bruce.
Bruce Hertzke: Thank you, Sarah. At this time, I’ll turn the call over to the operator for the question and answer portion of the call today.
Operator: [Operator instructions] Your first question comes from the line of Gregory Batiskadian of Citigroup Capital Market.
Gregory Batiskadian - Citigroup Capital Markets: Good job in a particularly tough environment. A few questions, one is just promotional level, it was lower this quarter, was that the case with your competitors and would you expect to see continued discipline by the manufacturers going forward?
Bob Olsen: Greg, this is Bob. I think that’s a fair statement. I think most manufacturers now have their inventories much better in line with demand. I think we’ve seen a reduction with some of the promotional activities, as you can see by our financials. We don’t have as much as we had last year, and I think the market is turning that way right now as well.
Gregory Batiskadian - Citigroup Capital Markets: Great, thanks, and also with respect to backlogs, A was down by 27%, C was up 49%, can you give a little color on the weakness in A and then also did the recent new entries of Class C diesels have any impact on that backlog, because 40% is pretty strong.
Bob Olsen: Yes, just to comment on the A, I think you remember that the fourth quarter and through the first quarter, we’ve been producing our redesigned diesel product quite heavily. Now we’ve allowed those products out to the dealer’s inventory. We’re now waiting for retail to catch up. From a C perspective, we’ve got some pretty tough comps to last year. Our View and Avion has always been strong. With competition coming out there, though we haven’t see a lot of their products out on the dealer lots we recognize the fact that we kind of have that game all to ourselves and there is going to be some competition to it. We feel confident that we are in the cutting edge. We’ve had the View and Avion now for two to two and a half years and at the Louisville show we introduced the new AvioniQ and we plan on continuing to look at opportunities for that product lineup.
Bruce Hertzke: Greg, this is Bruce. Some of the things that we don’t want you to do, you’ve mentioned diesel. There were no B orders in any of our numbers from Louisville. The new Era product we have not released any orders for that product yet.
Bob Olsen: I guess one other thing I can comment on the backlog of Cs, we did introduce the NavioniQ, which helped the backlog this year on C buys. We also have the Winnebago Access bunk-bed model that was very well received in Louisville for Winnebago dealers. That had a positive impact ton the backlog as well.
Gregory Batiskadian - Citigroup Capital Markets: To clarify, obviously there’s no B in our backlog [OVERLAY] incremental. Would your inventories reflect with that trend that we’ve been seeing in terms of A versus C? They’re obviously down year-over-year. Any change in that mix?
Sarah Nielsen: From the inventory level on hand we [OVERLAY]. From a dealer inventory standpoint, you can see it is overall down slightly, but on a dollar basis, they are up slightly. The mix has continued to trend with what we are shipping. It’s a mix of more higher-priced products very much similar to the strategy that our concentration in that diesel side of the business.
Gregory Batiskadian - Citigroup Capital Markets: Okay, great, very helpful, thank you.
Operator: The next question comes from the line of Scott Stember of Sidoti.
Scott Stember - Sidoti: Good morning. Sarah, do you have the ASPs for this year and last year by product line or by segment?
Sarah Nielsen: Yes, I’ll start with 2008, for our Class A, ASP was 90,528, and Class A diesel was 173,093. Our average Class A was 115,525. And Class C was 63,909, totaling an average for all Class A & C motor homes to 92,627. For the same quarter last year our Class A GAAP was 88,597, diesel was 16,311 average our total Class A was 110,569. Class C was 59552, which averaged overall last year to 85,257.
Scott Stember - Sidoti: Okay, can you talk about where your capacity utilization is right now versus a year ago, it seems you guys were able put out a nice amount of product, with the backlog where it is right now, maybe talk about where rates could go the next couple of quarters?
Bob Olsen: Right now we were a little bit over 55% capacity utilization in the first quarter. That compares to about 53% to 54% last year at this time. If I remember right in the fourth quarter we were at 72% we did go down a little bit. We don’t like to go too far forward, but I can say going into our slowest quarter from a seasonal adjusted standpoint, we feel right now we’re going to be relatively flat with where we were in the first quarter in the second quarter.
Scott Stember - Sidoti: I know you don’t normally talk about specific margins going forward, but when you look a the backlog and you see that there was a little bit of a reversal from an order standpoint from As to Cs is it a fair assumption, plus the comments you've made about the market that we could see the gross market sequentially tighten up a little bit in the second quarter?
Sarah Nielson: I think that’s a fair perspective. Second quarter as Bob had touched upon is seasonally our weakest and usually the lowest margin of all of our quarters every year. We don’t expect the trend to be different from that.
Scott Stember - Sidoti: Okay and the SG&A shift that you talked about from the Louisville show, what was the impact on the quarter?
Sarah Nielsen: We’re looking at approximately $400,000 with the Louisville show landing in our first quarter. Then we do have additional spend in relation to some of the new product offerings included in our first quarter.
Scott Stember - Sidoti: The backlog numbers, you had said, do not include any of the offerings from the Louisville show. Did it include the full order bank that you got for other products that you got at the Louisville show?
Bob Olsen: No, it didn’t, Scott. We’re still going through that right now and at the end of the quarter we did not have all of it in, approximately 70% of what might have been in.
Scott Stember - Sidoti: Last year if you recall, can you just speak to whether you have the full amount of the show in your backlog.
Sarah Nielsen: We wouldn’t have had any. It’s unusual for us to have Louisville be part of our first quarter. We returned from the show on Friday and our quarter ended Saturday. Normally the quarter ends the Saturday right after Thanksgiving. There would have been no orders from Louisville in our first quarter backlog.
Scott Stember - Sidoti: Just two last questions. I know that availability of the chassis has been an issue. Anything clearing up on that front or is it still tough to come by?
Bruce Hertzke: Winnebago has been in a very strong position. We started a long time ago, we have been getting our chassis we have ample chassis for our current production.
Scott Stember - Sidoti: Okay, last question related to the products on the US boat chassis you put out about three or four quarters ago. It’s been out in the field for a little bit, what’s the initial take form the dealers on the retail side?
Bob Olsen: I think from the perspective of that vehicle, we’re having some better success with the diesel product. It’s still not where we want it. We’ve done some adjustment to that product and made some changes at the request of the dealers. Between the two, I’d say the diesel is stronger. I think it’s been a real wait-and-see attitude and perception on the part of the retail customer with this UFO rear engine gas. They want to see how it operates and how it functions out there before they spend the money on it. I think the other side if it is we positioned that product on the diesel side more towards the lower side diesel lineup, where the gas is more towards the higher-end of the gas products. That, the last several quarters, has not been the strongest area in the gas products. We haven’t given up on it. It definitely isn’t where we want it to be yet. WE continue to make changes on it.
Scott Stember - Sidoti: Okay, that’s all I have, thank you.
Operator: Your next question comes from the line of John Diffenbach of BB&T Capital Markets.
John Diffenbach - BB&T Capital Markets: Good morning. To further look at the backlog number, nothing was in there last year, 70% of what you expect getting is in there this year. Can you give us a sense of what dollar number of backlog is this to give us a comparability number?
Bruce Hertzke: We have seen some of our competitors announce different dollars. I think we take a little bit different attitude when we go to Louisville. We actually try to make sure our sales people actually have products sold before we even get to Louisville, through out the whole thing. We go to Louisville, we show a new product and most of our orders that come are probably just the newest product. We expect stocking levels of our dealer year round. We focus out at Louisville on some new floor plans or product introductions, not so much getting a great big order bank at that two or three day show.
John Diffenbach - BB&T Capital Markets: Your Class A’s were down 26.5% year-over-year with some Louisville and no Louisville there last year. It’s down a little bit more than that on an apples-to-apples basis, I guess.
Bruce Hertzke: I think that’s somewhat fair comparison. The other thing when you’re at this lower capacity, hopefully we’re supplying product to out dealers a lot faster also. Naturally with our two production facilities hopefully we can get product built and displayed, shipped out to our dealers a lot faster. I think the whole industry should be that way right now.
John Diffenbach - BB&T Capital Markets: My second question is you mentioned you’re headed into your seasonally weakest quarter, the February quarter and you indicated earlier you expect sequential decline. You had about a 9.5% gross margin last year’s quarter which was even low by quarter standards. Given mix of business between the two quarters and that utilization rate you mentioned staying relatively stabile would you expect some improvement relative to last year on gross margin?
Sarah Nielsen: Similar to our past practice, we are not going to be providing guidance on our gross profit or the EPS side because it sets a volatile market place. It’s very hard to project accurately where that’s going to land. It’s a tough market place right now. We definitely are seeing a lot of short-term indicators that are not positive. We try to adjust our production schedule weekly based on what we’re seeing in the market place.
John Diffenbach - BB&T Capital Markets: Okay, that’s all I have, thanks.
Operator: Your next question comes from the line of Craig Hennison of Robert W. Baird.
Craig Hennison - Robert W. Baird: Good morning, everyone. Following up on John’s question with respect to the Class B market, ultimately where do you expect to report those units? Are you going to report them separately, or along with Class C?
Bob Olsen: They will be reported separately. There’s actually a Class B division of products you will see in the future. I'm getting information that sets serbates is going to look at some Class B registration information for the industry, which I think will be helpful for all of us. You’ll see Winnebago have the separate Class A, B and C lines so that you can continue to track that once we get everything established and we go into the future with the product.
Craig Hennison - Robert W. Baird: That will be helpful. I appreciate that disclosure. What was the anticipated timing of that Class B rollout from a shipment perspective?
Bob Olsen: We’ve got a fairly conservative ramp-up of that product because it is something new for us. It will start hitting dealers lots late February or the first part of March. Then we’ll continue to ramp up our production rate from that point. There’s going to be quite a bit of product out there probably in the late April/May time period.
Craig Hennison - Robert W. Baird: Typically when we look at a new product, we can say you’ve got 300 dealers , every dealer could take one or two and that could give a feel for how many hundreds of units you might ship in a new product, since you've got a different type of Class B dealers that will unfold differently. Maybe you can give us a sense for how many dealers you hope to add to that Class B network?
Bob Olsen: First of all, your first assumptions are correct, Craig. The dealer organization will be a little bit different. The sales and marketing departments have the opportunity to go to a Winnebago dealer, got to a Capka dealer, or a completely new dealer with this product line. The thing that we will be doing because of the ability of chassis and how fast we can ramp this product up, we will be signing new dealers up extensively through the entire 2008 calendar year. As we continue to get more and more product, we’ll continue to ramp it up and well sign on more and more dealers. The bottom line is we definitely will be looking at some unique new dealers and some existing dealers for Winnebago products. All 300 of our dealers won’t have it. We’re not sure exactly how many new dealers that we will have. We’ll have to see as we ramp up and sign new dealers up, where that will end up at.
Craig Hennison - Robert W. Baird: Okay, thank you. With respect to the average selling price of a Class B, is it in the neighborhood of a Class C or different?
Bob Olsen: It’s actually in the neighborhood of a Class C or even slightly higher. It’s a unique product. It’s a product that we had at Louisville and showed all the dealers, and actually at a little higher than the typical Class C.
Craig Hennison - Robert W. Baird: What about the contribution margin. How different from a Class C would it be?
Bob Olsen: I think it would compare more to our 500 series than the typical Class C. I think we’ve told the market place over the years C are definitely less than A, but the 500 series carries a little better margin than a typical Class C. The View and Avion carry a better margin than a typical Class C.
Craig Hennison - Robert W. Baird: Great, that’s all very helpful, thank you. If you look at the normal seasonality of dealer inventory, it seems to grow from Q1 to Q2 by about 400 units give or take. Is that a fair way to look at this year, or are there any nuances we should track?
Bruce Hertzke: I think in a normal year, your assumption is correct. This isn’t a normal year. I look at all the indicators out there and I think the dealers are going to be very conservative yet. I know there was an article out by RV Business Today that talked about some of the comments from the dealers. I think just about everyone of them talked about being more responsible shoppers, like their retail customers are. I personally think that you’re going to see the possibility that we could see the dealer inventories stay flat going into a more robust spring. I just think that they’re ultra conservative right now from a standpoint of wanting to stock extra units.
Craig Hennison - Robert W. Baird: The final question going after that backlog question again, the backlog was up 5% in units. Would it have been down absent the Louisville orders?
Bob Olsen: I think it could have been down some because as I said before, every time we introduce a new model we get some orders. Some of the new model orders were in there.
Craig Hennison - Robert W. Baird: Thank you very much.
Operator: The next question comes from the line of David Wells of Avondale Partners.
David Wells - Avondale Partners: Good morning, everyone. Just couple quick questions, first did the timing shift for the Dealer Days Event Impact the backlog comparisons at all?
Sarah Neilsen: Our Dealer Days Event was this past May. Louisville did have an impact because it crossed quarters in relation to paying for the actual because we were there in the end of our first quarter. You have an incomparable backlog because last year that event happened in our second quarter and there were no orders in the backlog from the Louisville event.
David Wells - Avondale Partners: Okay, great, thanks. Just as the orders are trickling in perhaps you could give us some color on what that's trending like versus last year. Are you seeing kind of similar order rates to last year, or are things improving or getting worse?
Bob Olsen: I would say right now that they’re not as good as last year, but they’re not terrible either. Overall we had a fairly decent show. When you take the fact in there that we’ve got a new product line that we aren’t taking orders for yet, I think we’ve got a possibility of being relatively flat.
David Wells - Avondale Partners: Great, thank you very much.
Operator: The next question comes from the line of Paul Burton of RBC Capital Markets.
Paul Burton - RBC Capital Markets: Good morning. I’m just wondering if you guys can give us a little color on what sort of financing is going on out there, what you’re hearing form the dealers about the banks on the customer side?
Sarah Neilsen: In relation to the whole credit market and what’s going on, we’ve definitely had continued discussions with the lenders in the states to understand what’s happening since our company doesn’t do any direct financing. On the consumer side, RV loans have historically enjoyed a very low delinquency rate, under 1%. They have indicated there’s been a slight uptake in the delinquency but we still are under 1%. It’s much more favorable than a typical consumer loan. I think there is tightening in the side of the credit availability. But that doesn’t necessarily reach the motor home consumer because our typical customer is 55-years-old, very strong in relation to their FICO score and their credit worthiness. I think there’s some tightening going on, there is a little bit if an up tick on the delinquencies.
Paul Burton - RBC Capital Markets: Okay, thanks very much.
Operator: The next question comes from the line of Barry Vogel of Barry Vogel and Associates.
Barry Vogel - Barry Vogel and Associates: Good morning, ladies and gentlemen. I have a question for Sarah, can you give me an inventory number that you as CFO would feel comfortable with at the end of the third quarter in relation to overall economic conditions.
Sarah Neilsen: As I mentioned earlier in the call, it’s going to take into out third quarter to work down use, additional units that we do have on hand. We think that $100 million range is a comfortable level. At the end of the third quarter we think that’s possible, $90 to $100 million would be ideal, even to be lower potentially by the end of the fiscal year. We don’t see that that will happen by the end of the second quarter.
Barry Vogel - Barry Vogel and Associates: At the end of your fiscal year that overall condition is on a seasonally adjusted basis stay the same, you’re looking at about a $905 million inventory at the end of the year.
Sarah Neilsen: Yes, that’s very much in line with what we would like to see happen.
Barry Vogel - Barry Vogel and Associates: Bruce I have a couple of questions for you. Consumer sentiment does get affected not only by perspective economic conditions but also by fuel costs and $100 barrel and $90 barrel fuel oil and possibly prices, is not a healthy thing for selling motor homes. Can you give us some details about prospective product development in terms of going against that trend to help with sales like lightweight materials, et cetera?
Bruce Hertzke: Yes, first of all, Barry, we definitely agree with all the statements you made here about oil. We believe that we will trend somewhat toward the European Market. They’ve been paying $5 to $8 for gas for a long time. They have a very robust RV industry for the last two, three, four years, especially in the motor caravans as they call them over there. We believe that we will definitely continue to need to develop, as we did with the View and Avion, more fuel efficient products, maybe smaller, not always what the American people want, but that’s what we see for trends in probably automobiles and the RVs. That’s why we came out with the iQ also, which is another version of a low profile Class C motor home, and our new introduction with the Era Class B motor home which is on that sprinter chassis which is actually rated by Dodge sprinter at 22 miles per gallon. We continue to think that down the road these type of products will become more and more popular and Winnebago industries is definitely going to have to have those type of products to compete in the marketplace, and to try to get some additional market share and different growth opportunities even in this tough market.
Bob Olsen: I want to expound on that a little bit, you mentioned something about looking for different materials that were lightweight. We’ve been doing that for several years now. We walk a really fine line from a standpoint of cost which is weight. Weight has always been important to us. You’re right with gas prices the way they are a little bit lighter, that might improve your fuel economy that’s going to be a plus for anybody in this industry. It appears that anything that is lighter in nature costs more. We have to weight the benefits of having a lighter weight, more fuel efficient product out there versus the cost, is the customer willing to pay. That’s been an ongoing process that we’ve been doing for several years now.
Barry Vogel - Barry Vogel and Associates: For the Louisville show are you in a position where you could come out with something reasonably significant in the Class A area. I understand Bs and Cs, but they don’t make as much money per B&C in terms of absolute dollars as you do in an A. I would be concerned about the As more than the Cs and the Bs.
Bob Olsen: All I can tell you, Barry, is that naturally we’re interested in all the product lines. We have nothing to announce today. It’s definitely things that we’ve talked about. I’d like to hope that you think Winnebago Industries is definitely working in different projects of that. I can tell you we’ve been looking at different stuff like that for way over a year.
Barry Vogel - Barry Vogel and Associates: One other question, I didn’t see, and I think I mentioned to you at the show, I didn’t see a ramp product on the Class As.
Bob Olsen: No.
Barry Vogel - Barry Vogel and Associates: And I know that last year three companies to the best of my knowledge had a ramp and with varying degrees of success obviously. Can you tell us why you didn’t have a ramp and do you think there it’s a strong possibility that you may have a ramp next year?
Bob Olsen: All I can tell you, Barry, is Winnebago has 91 different models for 2008. One of the biggest objections we get from some of our dealers is that 12 different major brands, they say that they really can’t carry them all. We always try top analyze what are the very best profit opportunities and market share opportunities that we can do with products and bring it to the market place. We just review whether it be a ramp motor home or whether it be a full wall slide or whether it be a view or Avion type product or any other type products that we look at, I can tell you that it is all things that we review all the time to try to identify what’s the next area for Winnebago Industries to get into.
Barry Vogel - Barry Vogel and Associates: Thank you very much, keep up the good work.
Operator: Your next question comes from the line of Joe Alexander and Zarfel Associates.
Joe Alexander - Zarfel Associates: Good morning. I know this is a hard year for you. If you look at ’09 and ’10, what type of unit sales could there be. Are unit sales if you want to take to for ’07 and ’08 are they trending below what normal demand should be, or there’s no such number of that?
Bruce Hertzke: All I can tell you is again in the RVI board for over 12 years and we as an industry try to follow these numbers all the time. I don’t know what to tell you with a typical year. I’ve been in the industry for over 3 decades and I’ve seen some very tough down turns, I’ve seen some slight downturns, I’ve seen some downturns that only lasted a few months and I’ve seen some downturns that lasted three years. Which one we’re in I wish I could tell you. I will tell you that in ’09 and ’10 we do hire Dr. Richard Curtain to analyze our industry and the long term prospects are still very favorable for our industry and that exactly when it turns and goes back to that I wish I could tell you. We definitely have a lot of confidence in the industry, and we believe that when the economy gets better and the consumer confidence gets higher and people get back to more of a typical spending mode, we think the RV industry will defiantly come back. If you look a the last quarter of a century in this industry, each time it’s come back, 2004 was the largest year ever that our industry had in the last quarter of a century. I think it has the potential to come back just like Richard Curtain has forecasted, that it will continue to grow once it starts coming back. I guess that’s my perspective also.
Joe Alexander - Zarfel Associates: Thank you. Can you give us an idea of your market shares and A&Cs in ’06 and ’07?
Bruce Hertzke: I think if you looked at last year, we were at 20.6 on the SA bodies, This year we’re at 22%, diesel we were at 10,1, this year we’re at 9.2, C bodies last year were at 25,6 and this year were at 24.3. There are some issues around that. We’ve picked up some in our gas and we think that's a lot to do with our introduction of our Vista and Sunstar which is our entry level gas A body product. We’ve also redesigned our Sightseer and Sinova. That has been really well received. Now that we’re putting full body paint on it it’s even better received. We’ve got a floor plan in our Sunrise which is a full wall slide that the dealers have really been excited about. We think those three product classes have really stimulated our gas A product. From a diesel perspective we have lost some, we’ve been out on the road several times over the course of the year, one of the strategies we have is we think we can grow in our diesel product. So far we’ve not been able to get that done, but trust me we continue to work diligently on that. We think that we are going to still have an opportunity to do that. From the C body we are slightly as I mentioned before, part of that us due to having some pretty tough comps last year. Avion has been strong for us the last two or three years. We feel pretty good about the fact that we’re just down a little bit in that category.
Joe Alexander - Zarfel Associates: My last question, could you let me know what your CAPEX are for fiscal ’08 and depreciation, and what will your CAPEX be like in ’09?
Sarah Neilsen: What we planned in 2008 has been in the $5 to $6 million range. With the environment we’ve been in for the last three years now. We’ve really cut back from a capital expenditure standpoint because we have the infrastructure we need at this current level of production. Our depreciation in a typical year is a little over $10 million and that’s what we see for 2008. If we turn around and see growth prospectively, our capital expenditures have been in the range of our depreciation on an annual basis. Prior to 2006 we had spent prior to our annual basis in the $10 to $12 million range.
Joe Alexander - Zarfel Associates: Thank you very much and good luck.
Operator: This concludes the question and answer session. I’d like to turn the call back to management for closing remarks.
Bruce Hertzke: Once again we’d like to thank everyone for joining Winnebago Industries today for our conference call. We look forward to talking to you again in March when we will report our second quarter fiscal 2008 results. Winnebago would like to wish all of you a happy holiday season. Have a safe holiday period.